Operator: Good morning. Welcome to the CEMEX Fourth Quarter 2018 Conference Call and Webcast. My name is Sophia, and I'll be your operator for today. At this time all participants are in a listen-only mode. Later we will conduct a question-and-answer session. [Operator Instructions] Our host for today are Fernando Gonzalez, Chief Executive Officer; and Maher Al-Haffar, Executive Vice President of Investor Relations, Communications and Public Affairs. And now, I'll turn the conference over to your host, Fernando Gonzalez. Please proceed.
Fernando Gonzalez: Thank you. Good day to everyone, and thank you for joining us for our fourth quarter 2018 conference call and webcast. We will be happy to take your questions after our initial remarks. We are pleased with our 6% consolidated top line growth during 2018, with high single-digit increases in Mexico, the U.S. and our EMEA region. This performance was supported by stronger consolidated volumes and prices. Our like-to-like consolidated cement, ready-mix and aggregates volumes grew by 1%. 3% and 2% respectively during the year. These increases are higher than those we experienced in 2017. For cement, volume increased in markets representing close to 80% of our total volumes. Our prices improved in most of our main markets. During the year, consolidated prices in local currency terms increased by 3% for cement and by 4% for both ready-mix and aggregates. In the case of ready-mix and aggregates, price expansions were higher than those observed in 2017. However, our price increases were not enough to reflect the higher-than-expected rise in energy cost and led to EBITDA growing by 1%. During this year, we will continue to focus on recovering this lag in input cost inflation. During the year, we generated more than $900 million in free cash flow before expansion CapEx, which resulted in a strong conversion of EBITDA into free cash flow of 36%. In working capital, we reached negative 14 average days during the fourth quarter and ended the year with negative 11 days. Both were record levels for CEMEX in these periods. In line with our strategy to reach investment-grade metrics by the end of 2020, we reduced total debt by 8% or close to $1 billion during the year and are on track to achieve our debt reduction target. In addition to our deleveraging efforts, we made significant advancements on our other stronger CEMEX objectives during the second half of the year. On asset sales, we are pleased with the initial response from potential buyers to our divestment initiatives and are well advanced in achieving an important level during the first half of this year. On our cost reduction efforts, we have implemented all initiatives and we expect the full benefit of these actions to be reflected in this year's EBITDA. We will provide you with an in-depth update on both divestments and cost-reduction initiatives during CEMEX Day, which will take place on March 20. And lastly on dividends, we have now included a proposal for a cash dividend, which will be presented for approval at our Ordinary Shareholders Meeting to be held on March 28. In addition to our stronger CEMEX targets, we made significant advances on other fronts. On health and safety, it gives me great pleasure and pride that for the first year ever, we did not have any employee fatalities during 2018. I would like to thank the whole CEMEX team in making this a reality. This milestone give us great satisfaction and, at the same time, pushes us to continue doing our best to continue being global safety leaders in our industry. In addition, during the year, we reduced total employee and contractor loss time injuries by 22%, a record low. We continue to move forward with our strategy to provide the superior customer experience enabled by digital technologies. In this regard, I'm very pleased to report that we are leading the industry with our end-to-end integrated platform, CEMEX Go, which covers the full customer journey, includes all products and services, reaches all our markets and is compatible with all devices.  CEMEX Go is now being used by close to 30,000 customers in most of our markets. These clients represent about 85% of our recurring customer base worldwide and are now conducting close to half of the purchases with us through CEMEX Go. This means that currently, about 40% of our total sales are being done through this platform.  On energy, we reached 27% alternative fuel substitution during 2018, which resulted in savings of about $150 million. Last year alone, we used more than 10 million tonnes of waste as fuels and alternative raw materials to produce cement. This is the equivalent of waste produced by about 37 million people in one year. This, together with other initiatives, allow us to reduce our CO2 emissions in approximately 21% from the 1990 baseline. This volume is equivalent to the emissions generated by the electric consumption of about 1.2 million homes in a year. We are investing our advocacy efforts with policymakers to promote regulatory stability across our markets to enable the safe use of alternative fuels, in line with international standards and best practices. In this way, we can generate a better understanding of the benefits that alternative fuels and waste management can generate not only for our business, but also for our society. The expedited implementation of our global initiatives, including health and safety efforts, CEMEX Go on alternative fuels has been possible thanks to our operational model in which we can mobilize the whole company to achieve our defined objectives in a short period of time.  Now I would like to discuss the most important developments in our markets. In Mexico, we ended the year 2018 with improved cement demand from the formal housing and industrial-and-commercial sectors. Our full year domestic gray cement volumes grew by 1%, while both our ready-mix and aggregate volumes grew by 10% on a year-over-year basis.  During the year, prices in peso terms increased for our three core products, with cement prices growing at 3% and both ready-mix and aggregates prices growing at 8% year-over-year. However, in real terms, our cement prices declined by 3%, as our price increase during the year only partially recovered the higher-than-expected energy and transportation cost escalation during the year.  As I have stated before, our strategy is to aim to recover our input cost inflation. To this end, we announced price increases in bagged and bulk cement as well as ready-mix effective January 1.  Our operating EBITDA margin reached 35.6% during 2018, a 1.4 percentage point decline versus 2017. This was mainly due to increases in energy and transportation costs as well as higher costs in raw materials in our ready-mix operations, partially mitigated by higher prices and volumes in our three core products.  Regarding energy, we continue with our efforts to increase alternative fuel utilization, which, in our Mexican operations, went from 18% as of the first quarter of 2017 to 26% during the fourth quarter of 2018, reaching a record high level of 29% during the month of December. The formal residential sector was the main driver for cement volumes during 2018 and is expected to continue growing this year, albeit at slower pace, mirroring the recent moderation in housing starts and registers. Favorable credit conditions from both banks and INFONAVIT are expected to continue. The government's budget for this year includes distribution of housing subsidies with lower resources for social housing compensated with additional funds for reconstruction and urban improvement. The implementation of these policy changes might temporarily slow down activity in this sector.  The industrial-and-commercial sector also contributed to improve demand for our products during 2018, fueled by construction in manufacturing, tourism and office space. For 2019, this sector is expected to be the main driver of cement demand, although at a more moderate pace. Regarding the self-construction sector, while indicators such as remittances, employment levels and aggregate wages were solid during 2018, cement demand to this sector remained practically flat. This is in part due to high bagged cement activity in 2017 in anticipation to state elections and limited pre-electoral demand during 2018. For this year, this sector should get back to growing in the low single digits.  Infrastructure sector activity continued to lag the other sectors during 2018, reflecting lower budget allocation to cement-intensive projects as well as an expected under-execution of this budget. For 2019, the allocation of funds for highways, including new, repair and maintenance, is higher than last year's actual expenditures. Regarding the flagship projects announced by the new administration, including the Mayan Train, the Trans- Isthmic Corridor and the Santa Lucia Airport, government revenue restrictions and expansion of social programs limited the budget allocations to these projects in 2019 to a low percentage of their total anticipated investment.  While we continue to expect favorable medium-term prospects for this sector, we remain cautious on its performance for this year. Considering all this, we expect a flat performance for our three core products in Mexico for 2019. In the United States, the strong industry fundamentals we experienced last year were disrupted during the fourth quarter by difficult weather throughout our portfolio. A significant jump in precipitation in all regions, except Florida, coupled with fires in California, explained the volume underperformance. Importantly, on the days when the sun did shine, we saw a material uptick in demand underscoring our view that underlying fundamentals of the market are strong. The residential and infrastructure sectors remained a primary determinants of demand. Quarterly cement volumes declined by 2%, while ready-mix and aggregate volumes increased by 5% and 1%, respectively, on a year-over-year basis. We were disappointed with the traction of pricing in the U.S. during 2018, a year in which we faced significant cost headwinds. For the full year, prices for cement and ready-mix rose 3% and 2%, respectively, while aggregate prices were up 5%. As we entered 2019, we are optimistic regarding the ability of our prices to compensate for input cost inflation. On the residential sector, our four key states are expanding or are very significantly higher than that of the country as a whole. The outlook remains promising with permits for our four key states up 13% year-to-date November versus the national average of 4%. The recent decline in interest rates has also reinvigorated mortgage applications for purchase since the beginning of the year. In the industrial-and-commercial sector, construction spending is up 4% year-to-date November, with strength in office, lodging and commercial activity. In infrastructure, street and highway spending continues to run at the second largest growth rate for the cement for the segment since 2009, up 5% year-to-date November on the back of new state highway funding initiatives. While national contract awards were up 3% in 2018, awards in our four key states grew more than 20% in the same period. After years of fairly flat infrastructure volumes, we are particularly encouraged by the momentum we are seeing in this sector that accounts for 50% of U.S. cement consumption. Our 2018 cement, ready-mix and aggregate volumes in the U.S. grew at 5%, 8% and 3%, respectively. In 2019, we expect cement, ready-mix and aggregate growth between 2% and 4%. This guidance reflects some moderation in residential growth to the mid single-digit area while infrastructure demand accelerates. We are confident that pricing traction in 2019 will compensate for lost input cost inflation and that the U.S. cement recovery story is resilient. In our South, Central America and the Caribbean region, on a like-to-like basis, our cement volumes during 2018 declined by 3%, while both ready-mix and aggregate volumes declined by 11%. We saw volume improvements in Costa Rica, Guatemala, El Salvador, Puerto Rico and The Bahamas. Operating EBITDA for the full year declined by 14% on a like-to-like basis substantially because of lower contribution from Panama, Colombia and Nicaragua, with a margin decline of 2.9 percentage points. The decline in margin reflects lower regional volumes, higher purchased cement in our TCL operations and increased energy on freight costs. I will give a general overview of the region, and for additional information, you can also see CLH's quarterly results, which were also made available today. In Colombia, during the quarter, our cement volumes increased by 4% year-over-year and by 7% sequentially, reflecting a quarter-on-quarter improvement in our market position. For the full year, our domestic gray cement and ready-mix volumes declined by 6% and 11%, respectively. Regarding cement pricing during the quarter, we saw an increase of 2% on a year-over-year basis and 1% decline sequentially in local currency terms. In this respect, we recently implemented a mid-single digit increase in bulk and bagged cement. For this year, the infrastructure sector should be the main driver of demand with cement volumes expected to increase in the mid single-digits. This sector should benefit from a higher transportation investment budget, regional and local elections as well as additional transportation projects, which will be funded with an increase in royalties from extraction activities. In the residential sector, better economic prospects as well as implementation of social programs will benefit the informal segment. The low income housing segment should be supported by the recent double-digit increase in construction permits and introduction of a new rent-to-buy program. We expect a mid to high income housing segment to remain challenged during the year. For 2019, this sector should grow in the low single-digits. We expect national cement consumption for this year to increase in the 1% to 3% range. Considering our pricing strategy and the expected changes in the competitive landscape, we anticipate our cement volumes in Columbia to be from flat to growing 1%. In Panama, cement volumes declined by 8% during the quarter and by 18% for the full year, affected by lower demand from the residential and industrial-and-commercial sector as well as the construction workers strike, which took place during the second quarter. The infrastructure sector is expected to drive cement demand during the year, benefiting from different projects that should start construction in the short-term. For 2019, we expect our cement volumes in Panama to be from flat to declining 2%, as high inventory levels in the residential and industrial-and-commercial sectors continue to impact cement consumption. In our TCL operations, domestic gray cement volumes declined by 6% during the fourth quarter and by 2% during 2018 on a like-to-like basis. Favorable volume dynamics continue in Jamaica, driven by infrastructure and commercial activity in the tourism sector and offset by volume dynamics continue in Jamaica, driven by infrastructure and commercial activity in the tourism sector and offset by volume declines in the rest of our TCL footprint. In our Europe region, our domestic gray cement volumes during 2018 grew by 1%, while aggregates volumes remained flat and ready-mix volumes declined slightly. Domestic cement volumes during this period grew in Spain, Poland, Czech Republic and Latvia. Regional prices for our three core products increased in the low to mid-single digits during the year. During the full year, regional EBITDA declined by 4% on a like-to-like basis, with an EBITDA margin drop of 0.6 percentage points. The margin decline is mainly due to higher energy and transportation costs, a rise in purchased cement and clinker as well as increased labor costs, which were partially offset by higher prices. In the United Kingdom, our cement volumes declined by 6% during the quarter and by 4% during the full year in 2018. For 2019, given the continued uncertainty around Brexit, we expect our cement volume variation to be in the minus 1% to plus 1% range. We respect that favorable contribution from the residential and infrastructure sectors. In Spain, total cement volumes declined by 5% during the year. Against this backdrop and excess capacity, we are stopping production in two cement plants in the country. For this year, the residential sector should be the main contributor to demand, although we expect an 11% decline in total cement volumes for 2019. In Germany, our cement and ready-mix volumes declined by 1% and 9%, respectively, during 2018. Quarterly cement and ready-mix prices in local currency terms were up 2% and 7%, respectively. Our volume performance reflects in part continuous supply constraints in the construction industry, which resulted in lower cement volumes supplied to our ready-mix operators. For this year, infrastructure activity continues to be a priority for the government with the execution of the 2030 Federal Transport Infrastructure Plan. The residential sector should be supported by a strong labor market and attractive financing conditions, but housing affordability remains a concern in large metropolitan areas. In 2019, our cement volumes are expected to be from flat to growing by 2%. In Poland, full year volumes for domestic gray cement, ready-mix and aggregates increased by 7%, 4% and 8%, respectively. Our quarterly cement prices grew by 7% on a year-over-year basis and remained stable sequentially. For 2019, we estimate our cement volumes to grow from 2% to 4%, driven by infrastructure, supported by EU-funded projects as well as industrial and commercial activity. In France, our full year ready-mix volumes remained flat, while our aggregates volumes increased by 2%. The lower than industry growth in ready-mix reflects our strong presence in Paris, where adverse weather conditions and recent political unrest impacted volumes in the region. For 2019, the infrastructure sector should be the main driver of growth supported by the continuation of the Grand Paris project, the Lyon train tunnel and anticipated increase in infrastructure investment by local authorities. We expect our ready-mix volumes to increase between 1% and 3% during 2019. In our Asia, Middle East and Africa region, cement volumes during 2019 increased by 3%, driven by favorable activity in the Philippines, while ready-mix volumes remained flat and aggregates volumes declined by 2%. The decline in operating EBITDA reflects lower contribution from our operations in the Philippines, Egypt and the United Arab Emirates. In the Philippines, our domestic gray cement volumes remained flat during the quarter and increased by 7% during the full year. Our quarterly volume performance was affected by production constraints caused by the landslide in Naga near our Apo plant, while our full year performance reflects growth in the infrastructure and residential sectors coupled with the bottlenecking efforts in our operations and logistics. Our cement prices in local currency terms increased by 6% during the quarter and by 1% for the full year. On a year-over-year basis for 2019, we expect our cement volumes to grow about 8% to 10%. Infrastructure activity should be supported by the continuation of the government’s Build, Build, Build program. The residential sector is expected to benefit from continued growth in residential building permits and improved level of remittances. For additional information on our Philippines operations, please see CHP’s quarterly results, which will be made available late tonight, Friday morning in Asia. In Egypt, our cement volumes declined by 31% during the fourth quarter and remained flat for the full year. Our volume performance during the quarter reflects an overall market decline in addition to our focus on our most profitable markets as new production capacity comes online. Our local currency cement prices increased by 18% during 2018, partially offsetting the significant input cost inflation observed during the year. For 2019, we expect national cement volumes to grow in the low-single digits with improved performance from all demand sectors. However, we are guiding to a decline in our cement volumes for the country due to continued challenge in supply/demand dynamics. In Israel, our ready-mix volumes increased by 3% during the quarter and by 4% for the full year. The non-residential sector has been the main driver of demand supported by a strong economy and low unemployment levels. In summary, during 2018, we had solid fundamentals in most of our operations, which translated into positive consolidated volume and prices, both in local currency and U.S. dollar terms for our three core products. And now I will turn the call over to Maher to discuss our financials.
Maher Al-Haffar: Thank you, Fernando. Hello, everyone. To complement what Fernando said earlier, I would like to stress the strength of our operating model, which has delivered favorable top line and EBITDA results driven by improved pricing and volume dynamics in all our products in most of our markets. This was achieved despite a challenging macroeconomic and operating backdrop. On a like-to-like basis, our net sales increased by 4% during the quarter, while operating EBITDA remained flat. Our quarterly operating EBITDA margin declined by 0.8 percentage points. During the quarter, we had a favorable impact of foreign exchange fluctuations on our EBITDA of $18 million. Cost of sales as a percentage of net sales increased by 1.1 percentage points during the fourth quarter, driven mainly by higher energy costs, raw materials in our ready-mix operations and – as well as higher purchased cement and clinker. Operating expenses also as a percentage of net sales declined by 0.4 percentage points in the same period, reflecting, in part, our cost reduction initiatives. 2018 was a challenging year in terms of energy costs. We faced a significant cost inflation pressures for rising energy prices in international and local markets. Initiatives such as alternative fuel utilization as well as other fuel switching flexibility and continuous search for lower-cost fuels mitigated these pressures. In addition, during the year, we hedged 25% of our exposure to diesel and other liquid fuels as well as part of our coal consumption. As a result, our kiln fuel and electricity bill on a per basis increased by 3% during the fourth quarter and by 7% during the full year. For 2019, we are targeting to reach an excess of 30% in alternative fuel utilization from the 27% achieved last year. We are also expanding our diesel hedging strategies. And as of now, we have 40% of our diesel needs covered for this year. We continue to explore ways to further reduce our exposure to energy price volatility. Our quarterly free cash flow after maintenance CapEx was $403 million compared with $680 million last year, mainly explained by a lower reversal in working capital investment. We achieved quarterly and full year records in working capital days, reaching negative 14 and negative 11 days respectively. Quarterly free cash flow was mainly used for debt reduction. In addition, under our share buyback program, we repurchased 153.6 million CPOs during the quarter for a total of approximately $75 million. Our total debt plus perpetual securities declined by $239 million during the quarter and by $952 million during the full year 2018. That variation includes a favorable translation effect of $53 million for the fourth quarter and $184 million for the full year. Our leverage ratio as of the end of 2018 reached 3.84 times from 3.89 times as of September. We have a manageable debt maturity profile with no significant maturities through March 2020 when $520 million in convertible securities become due. Additionally, as of the end of 2018 after giving pro forma effect to our interest rate swap, which goes into effect in June of this year, about 72% of our total debt is of a fixed rate nature, and close to 90% of our interest expense is based on a fixed rate or a spread grid based on leverage. This should contribute to further stability in our free cash flow generation. Now, Fernando will discuss our outlook for this year, Fernando?
Fernando Gonzalez: Thank you, Maher. The growth outlook for 2019 is favorable. We expect our consolidated cement volumes to be from stable to growing 2%; our ready-mix volumes to increase from 3% to 5%; and our aggregates volumes to be 2% to 4% higher compared with those in 2018. Regarding our cost of energy, on a [indiscernible] (32:13) basis, we expect it to be from flat to increasing by 3% from last year’s levels. Guidance for total CapEx for 2019 is about $850 million. This includes $550 million in maintenance CapEx and $300 million strategic CapEx. On financial expenses, we expect marginal reduction from last year’s level. With respect to working capital, we anticipate on investment of between zero and $50 million. Cash taxes for 2019 are estimated to be between $250 million and $300 million. We will continue to focus on the variables we control. We are committed to delivering on our a stronger CEMEX targets, which will help us accelerate the achievement of our priorities and fortify our position as a leading global heavy building materials company to deliver increased shareholder value. We remain confident in both our outlook and CEMEX ability to grow. Thank you for your attention, and I look forward to further discussing our medium-term outlook and strategy during our CEMEX Day on March 20.
Maher Al-Haffar: Before we go into our Q&A session, I would like to remind you that any forward-looking statements we make today are based on our current knowledge of the markets in which we operate and could change in the future due to a variety of factors beyond our control. In addition, unless the context indicates otherwise, all references to pricing initiatives, price increases or decreases refer to our prices for our products. And now we will be happy to take your questions. Operator?
Operator: [Operator Instructions] And our first question comes from Benjamin Theurer from Barclays.
Benjamin Theurer: Yes. Good morning, Fernando and Maher. Thanks for taking the question and congratulations to the strong cash generation last year. I wanted to ask about your outlook and very specifically on Mexico. Clearly, a 0%, 0%, 0% volume outlook for your three core segments sounds very cautious, and you've elaborated a little bit on the prepared remarks. But just to understand the dynamics better and what's behind the very cautious assumption on the outlook in Mexico, which clearly seems to weigh on your consolidated performance, considering some of the outlook in other regions, having an impact here on the volume side. That will be my first question.
Maher Al-Haffar: Ben, thank you very much. And maybe just for the benefit of everybody, stepping back for a second. Housing is – both formal and informal is expected to be a little bit under 60% of demand for cement for the year and then followed by industrial-and-commercial, which is 25% and then infrastructure is now only representing mid-teens 15%. I mean, obviously, this is a year of transition. So there's definitely a little bit of uncertainty in terms of where we're looking forward. I think we're encouraged by some of the leading indicators. If you take a look at formal residential, for instance, while there is some uncertainty from implementation of new social housing programs, the budget for that is actually increasing in the mid-teens. We're also very encouraged by bank mortgages continuing to support the sector. In the fourth quarter, we saw almost a 17% growth in that activity. And typically, those are positive precursors to demand in that sector and formal residential is almost 1/4 of demand. Informal residential, I mean, which is very dependent on consumer sentiment and some of the drivers there are very positive. I mean, if we take a look at minimum wages, they have gone up by 16%. We have the highest consumer confidence in Mexico since 2017. If you take a look at employment levels, if you take a look at remittances, social programs, all of these are very important leading indicators to the extent there's stability and confidence to demand in the informal residential sector, which is addressed by our bagged format in Mexico. In industrial-and-commercial; industrial, we're cautious on; commercial, we think is the area that will drive growth, primarily retail and tourism. Although we do think there are good prospects for manufacturing as well for the domestic market, given all of the things that are happening in Asia with the U.S., I mean, and time will only tell how that happens. Infrastructure is the one area, frankly, that is – it's a question mark. I mean, it's a transition for the administration. There's tight budgetary constraints that have been announced. So we'll have to wait and see. Are we cautious? I mean, I would hate to say that, but I think the leading indicators show that there's definitely, potentially, some room to grow. But we'll have to wait and see what happens on the infrastructure side. I don't know if, Fernando, you'd like to add.
Fernando Gonzalez: Yes. I mean, I might be redundant, but as a summary, I think Maher mentioned a couple of times, for Mexico, this is a transitional year, meaning, there is a new federal government in place that is starting to deliver their own strategy. What I can address or point out is that we do expect this year for private investment in the residential, industrial-and-commercial sectors to grow in a moderate way. On the infrastructure side, as Maher said, that's the question. Now what we have, which is slightly different to previous years in Mexico, is that currently because of performance of infrastructure in the last couple of years, infrastructure accounts only for 15% of total consumption in the country. And in this case, transition – you can think on positives and negatives on the transition. What we see is that compared to other new governments, this government started putting their act together immediately after they were confirmed as Mr. Lopez Obrador and his team were confirmed as the winners of the election. So things that in infrastructure, you know, the large projects like trains or urban roads or the Trans- Isthmic project, projects that might last too long in order to be prepared. I wondered if in this case, they will have a shorter – a speedier way to develop these projects. The Santa Lucia Airport, the Queretaro train, the Mexico-Queretaro, the Isthmus, the Mayan Train and concrete roads in the South of Mexico. So I think what we need to observe very carefully in the next few months and years is the speed. The will is there. The funds are there. So it's the speed at which these launch projects are going to be executed. So again, it's a transitional year. We need to be very careful. We need to observe how things evolve. And we will – we might be changing our estimates accordingly.
Benjamin Theurer: Okay. And then just one small follow-up. Guidance outlook strategic CapEx, you now say $300 million. Is it because there was a delay in spending that did not occur in 2018 where you just said about $160-something million and initially guided for like $250 million. So is that just a move? Or is that something particularly for 2019 why strategic CapEx went up by $50 million? I assume, it's a delay and something that was not spent in 2018? Correct?
Fernando Gonzalez: Yes, in this case, the largest amount for expansion CapEx or strategic CapEx is the expansion of our Solid plant in the Philippines. As you might remember, in the Philippines, we don't have capacity enough to maintain our position in the country, and the country is growing. So last year, we were willing to start the project. We had a few issues with permits, with assuring reserves for the expansion, and we decided to delay that project a little bit. So most of it is going to be executed this year. The other large projects are Tepeaca, Rudniki and also an investment, which we normally do more or less the same amount every year, in aggregates research. So that is – that's more or less the main projects that we are having as part of this $300 million strategic CapEx.
Operator: Our next question comes from Carlos Peyrelongue from Bank of America Merrill Lynch.
Carlos Peyrelongue: Thank you very much taking my call, appreciate it. Two questions, if I may. First related to Mexico prices. You mentioned you wanted to recover input cost inflation that you had during last year and that you have increased prices in January. Can you comment the size of the price increases and if these were both for bagged and bulk cement? And lastly, if you can provide any color as to how much of these price increases have stopped. It might be too early, but if you have some color would be appreciated. Second question is on U.S. cement prices. There, it looks like the outlook for volumes looks promising, considering how housing starts and construction starts have been sharing in your key states. Can you comment also there on the letters you have sent and timing of implementation in terms of price increases? That would be great.
Fernando Gonzalez: Sure. Let me comment on prices in Mexico. Just to start a little of context, as I mentioned before, in the case of – I think we started mentioning early last year that our pricing strategy in Mexico was only to offset inflation in our cost base. Now I already mentioned that in real terms, cement prices in Mexico declined 3%. This year, we continue with the same strategy, meaning, we – our pricing strategy is subjective, is to offset inflation we have in our cost base. As you know, it's been high, no different to other markets because of energy and distribution, and distribution because of fuels. So that's what we are planning to do this year. That's what we planned last year, although we were not successful, not completely. What we have announced for this year is an increase, starting January 1, of 9% bagged cement and 14% cement – in bulk cement. We also announced an increase in our ready-mix of about 10%. As you can imagine, dynamics in the market are different now compared to what they were two, three years ago because of performance in the market volumes, capacity, etcetera. So we will see how this goes. What I can tell you is first priority for us is to be sure that we keep our prices offsetting the high inflation that we have seen in months and last few years.
Maher Al-Haffar: And Carlos, maybe I'll take – I'll address the U.S. I mean, as you heard in Fernando’s comments, prices for the year, while they were okay last year, 3% for the full year, we, frankly, were disappointed with the performance and primarily because of the escalation in energy, logistics and labor. In fact, pricing increases in the year were the worse since 2013. I mean, so now we are very optimistic about 2019 performance. We think that a combination of the high capacity utilization in the market as well as continued growth in demand. We’re quite optimistic, and we’ve announced pricing increases that are – that have gone into effect in January for about 1/4 of our markets, principally Florida. And there, we have been – the traction that we have gotten has been quite good we gotten mid-single digit increases already and feel comfortable that we will at least achieve that. Hopefully, we’ll be more than that. The rest of our markets, which represent three quarters of the portfolio, will experience or will have price increases going into effect in April. And in California and North-South Atlantic, we’re talking about kind of mid-teens. And in Texas, we’re talking mid-single digit. And so we’re reasonably positive when we take a look at the market, particularly in markets where – had experienced kind of worst performance last year, we’re noticing that pretty much everybody or most of the players in the market public – from public information is that they have announced higher prices than last year, and that’s encouraging. That’s based on the supply-demand dynamics that we see in the U.S. So we’re encouraged, and we’re optimistic with the outlook on pricing in the U.S., particularly – I mean, I’m talking about our markets, obviously. I don’t know if that answers your question.
Carlos Peyrelongue: No, yes, very much. So it’s – yes, the U.S., in particular, your markets look quite promising for this year. Appreciate the answers. 
Operator: Our next question comes from Adrian Huerta from JP Morgan. 
Adrian Huerta: Fernando, on asset sales, you announced [indiscernible] details a while ago. Can you just talk a little bit how the environment has evolved since then on the appetite from different players to acquire assets and what we could expect over the coming months?
Fernando Gonzalez: Sure. As I mentioned, we are pleased with the process we are following. We do see interest from different parties, most of them industry parties. And we have different processes going on. It’s been six months since we announced the divestment strategy as part of our stronger CEMEX program. So we do believe that we will be successful on the $1.5 billion to $2 billion divestments as of December next year. Of course, we do expect to do most of the divestments this year. And we don’t have any specific transactions to disclose as of this call. But hopefully, very soon we will be in a position to do that, hopefully, for CEMEX Day on March 20. But what I can tell you is that there is – there are interested parties, and we have nonbinding as well as binding offers at reasonable multiples. So I think we will succeed on the asset divestment plan. Remember that we do have assets different types, ready-mix, aggregates and cement that in certain and some specific situations, they have – they are very valuable for other players. So again, I think we will succeed on this intent of divesting $1.5 billion to $2 billion, and it’s going to be at reasonable prices.
Adrian Huerta: Understood. Thank you. And one question, if I may. On the alternative fuels, there was a good progress last year. Are you expecting a further increase this year? And mainly from which regions?
Fernando Gonzalez: Well, yes. And it – we do – as you can imagine, remember that the cost of fuels for cement production have been increasing since, I think, it was first quarter of 2016, more or less. We do have a road map of alternative fuels up to our midterm target of 35%. And we do execute those projects, though, these projects have been identified. They have been analyzed. Engineering have been done. So we can – at a speed, we can execute on these projects depending on the cost of primary fuels. So that’s why we increased our proportion of alternative fuels last year, and we will increase again alternative fuels for 2019. We might end up 2019 with around 30 – 32% of alternative fuels coming from around 27%. Which countries? I think Mexico is doing lots of progress. The exit rate of Mexico last December was 29%, and it will increase this year. Europe is increasing, although it has the highest rate, but still increasing, particularly in our Rugby plant in the UK and in Dusseldorf in Germany. We do have other plants, but already 80 at 90% alternative fuel substitution. So that – those will remain at that level. We are willing to continue exploring alternatives and possibilities of increasing alternative fuels being part of the circular economy in countries that has not been the case. And I think Mexico is a good example. Almost regardless of loss regulations of directive around different type of waste residues, we’ve been able to develop this activity, and cement is one of the very few alternatives for the recycling – massive recycling of household and industrial waste. So we want to promote that everywhere, U.S., Colombia, Dominican Republic. I mean, Europe is pretty well advanced. But in other markets, I think, we can play a role on promoting the use of alternative fuels.
Adrian Huerta: Thanks.
Operator: And now we will take a question from the webcast.
Maher Al-Haffar: Okay, thank you operator. The next question is from Paul Roger from Exane BNP Paribas. And Paul has three questions. So I will ask each question. The first question is, do you expect Mexico margin to stabilize in 2019? And where is the floor? Well first Paul, I mean we don’t guide towards margin. So I’m not going to comment about a floor. Do we expect margins to stabilize? I mean, all I can tell you is that you heard our discussion of volumes. You heard our discussion on prices, which both tend to be pointing to a top line positive move. And then when we take a look on the cost side – well, first there’s no new capacity. So we should not be impacted by any potential volatility because of that. There is a product mix. I mean, what we have seen in 2018 is that our ready-mix and aggregates have been growing by a multiple of what cement has been experiencing. And of course, the return on – the EBITDA margin of those businesses is potentially dilutive. Although from return on capital, it is not. And then you also heard partially the conversation about energy. Mexico has been probably one of the most, let’s say, proactive – one of our countries in switching to alternative fuels. And then on the – as far as pet coke, which is our most important source, although we are buying a lot of it on the international markets, pet coke prices between September and December are down materially. Now there is an inventory effect that has to take place, so it’s – it won’t have an immediate impact on our cost structure. But assuming that the markets continue trending where they are – where we have seen them in the past few months, then we potentially should benefit from the combination of all of these things that are happening. I mean, you can do the arithmetic. If you’re expecting some kind of positive top line, and you’re seeing that the – everything in between is behaving a little bit better, you can do the arithmetic. I don’t know, I hope that answers the question. The second question is about sequential price increases in Europe, which were positively surprising. Do you push a price – did you push a price volume versus volume strategy explaining – I just lost the question. Can you put it back, please? So just to answer that question, and Paul, where – the pricing that we show is primarily being impacted by UK prices. We had an internal price adjustment that translated to an increase, if we adjust for that – normalize for that where prices are fairly flattish. Having said that, looking forward in Europe, I would like to say and we’re pleased with that, frankly, and we hope that, that continues, again, same experience that we’ve had, say, in the U.S., high input cost inflation, we think that different players in the markets are realizing that that’s something that has to be recovered and so pricing dynamics there have been also positive. We can't comment market-by-market, but clearly the outlook looks fairly good. The last question is, how core is your Philippines business?  And what impact could consolidation have? The Philippine business, I mean, represents about – last year, represented about 3% of our EBITDA. It's an important business. As you heard, we're investing there. The guidance for – we had very healthy growth in 2018 accompanied by healthy pricing, specifically, more recently. The outlook into 2019 is quite positive, and we think the momentum for pricing should be positive. And the market is a net importer. And so I think that – and obviously, we will continue to experience benefits on the bagged cement area where is the core strength of the business. The government has been very supportive on the infrastructure side and on housing. So it should be good. I mean, I should be – consolidation, frankly, I can't comment on that.
Maher Al-Haffar: operator, can we go to the next question please?
Operator: Our next question comes from Vanessa Quiroga from Credit Suisse.
Vanessa Quiroga: Hi, thank you Fernando and Maher for taking my questions.
Fernando Gonzalez: Hello. Hi, Vanessa.
Vanessa Quiroga: And the first one is on energy costs. If you can tell us what are the markets that are mainly contributing to the increase that you see in 2019 versus 2018? And if your assumption for Mexico is considering the current issues at PEMEX refineries in the supply of pet coke? And the other question that I would have is regarding your guidance for the U.S. If you see any of upside factors to the outlook that you are announcing now? Thanks.
Fernando Gonzalez: Any what, sorry?
Vanessa Quiroga: Upside, upside in the guidance that you are providing regarding the U.S.?
Maher Al-Haffar: For the U.S., okay.
Fernando Gonzalez: Maybe, Vanessa, I can take your first question, the energy. I mean, we have a peculiar situation in energy in 2019 and that is that a fair amount of our electricity contracts are being renegotiated in Europe. As a consequence of CO2 prices increasing and that increases reflecting higher growth for the electricity generator. So the area where we are expecting kind of to be a drag or headwind in terms of energy is on the electricity side. On fuels, actually, we're expecting a negative – a drop of kind of low single digit in fuels. And really the – from a 20 – last year, I mean, we had fairly benign electricity increases. Fuels were quite high. As you may know, they were kind of low double digits. So that's where it's coming from. And again, as Fernando said, we are making every effort to introduce and increase the use of alternative fuels and waste fuels in our various markets because we think that investment is extremely accretive and the payback is extremely short to the company. So we – I don't know if that covers that. Can I go to the U.S. guidance? Or is that
Vanessa Quiroga: Just on that, do you agree that this increasing energy cost per ton that you are expecting in 2019 will partially offset the cost saving efforts on the stronger CEMEX plans?
Maher Al-Haffar: I mean – you mean the whole amount? I can't give you that.
Vanessa Quiroga: No, partially. Partially yes.
Fernando Gonzalez: Maybe, we should clarify, Vanessa, that $150 million of savings we have announced are not net in the sense of there might be other negative impacts. For instance, an increase of cost of fuels between 0% to 3%, which we believe is going to be offset through pricing. But the $150 million of savings are very concrete and specific. I mean, they're going to happen. If there are other negative impacts, we will see, again, this example, fuels and pricing. And hopefully, we would be able to keep the balance and to maintain or, hopefully, even increase our margins. After a couple of years of – 2.5 years of very high inflation in fuels – production fuels and distribution fuels.
Maher Al-Haffar: And Vanessa, on the..
Vanessa Quiroga: Okay, okay enough, that clarifies. Thank you.
Maher Al-Haffar: Yes. And Vanessa – and on the U.S., I mean, I would say, Vanessa, I mean, it's, obviously, too early to tell, but when we take a look at some of our markets in particular, we're quite encouraged. Certainly, cement shipments are almost double last year. We're running at double the rate of the national average. Housing permits, as we mentioned, they are three times as of November, the national average. Construction GDP is looking almost 30% better in our key states – four key states than the national average. And very importantly, we're very encouraged, frankly. We're not expecting a lot of activity at the federal level, but at the state level, infrastructure in our markets, streets-and-highways contract awards as of September – I mean, as of December of last year, it's up like more – a little bit more than 20%. So we're – it is in our four key states versus a low single digit growth in the rest of the markets. So are we being cautious? I – or conservative? I don't know. 2018 has been quite volatile. We're very encouraged by the interest rate environment in the U.S. We've noticed a very quick and rapid response in the fourth quarter in mortgage origination after the market started discounting and messaging a stabler and maybe less – more benign, let's say, interest rate environment. And in some very high-price markets on the housing side and residential side, we've seen a little bit of a reduction in prices, which we are seeing, actually, attracting people back into the market, especially those people who are interest rate sensitive and mortgage sensitive. So we'll have to wait and see. It's the beginning of the year. There's weather, there's all kinds of things. But for the time being, the outlook, certainly, seems reasonable. I don't know if that addresses your comments.
Vanessa Quiroga: Yes, thank you very much to both.
Maher Al-Haffar: Great, thank you Vanessa. Operator?
Operator: Your next question comes from Mauricio Serna from UBS.
Mauricio Serna: Hi, good morning and thanks for taking my questions. First, a couple of things. On asset sales, I just wanted to make sure I remember when you launched A Stronger CEMEX initiative, you mentioned that once we were done with the asset sales, the asset portfolio for CEMEX will look a little bit more skewed into the emerging markets. Just thinking if that is still the case, meaning that the game is to invest more of the developed markets region. And also just in that note, should we be thinking divestments more into ready-mix or aggregates or cement, just to get a sense on how could that also affect the company's asset portfolio?
Maher Al-Haffar: Thanks for asking. Let me start with the asset divestment objective that we announced mid-last year. It was a 2.5 years plan, meaning, we are committed to achieve $1.5 billion to $2 billion of divestments up to December next year. I think we are doing – I mean, last year, we sold almost less than $100 million, so it's nothing material, nothing sizable. But we did engage in different processes. And as I commented in a previous question, I think it's going very well. There are interested parties, and they are showing really serious parties interested in acquiring some of our assets at reasonable prices. So that make us believe that the program will be properly executed in the next – hopefully, most of this year, but we have this 24 months horizon to comply with that commitment. Now regarding the comments we have made on our strategy, we have said that when thinking in our portfolio, and remember, that's one of the elements of our stronger CEMEX plan or initiative, is rebalancing our portfolio. And we have expressed what we expressed what we have in mind in the sense of taking into account our current portfolio. We believe that it would be worth to think on additional businesses – cement businesses in emerging markets as well as aggregates and ready-mix businesses in developed markets. And every time I have mentioned this, I always make a clarification, it doesn't mean that we will not invest in cement in developed or in aggregates and ready-mix in developing. But it's the idea or the – meaning, we do believe that meaning, we do believe that is more attractive for cement in emerging, high growth, profitable markets and for aggregates and ready-mix on as-needed basis in developed markets. Now again, that strategy – again, we look at opportunities to rebalance our portfolio. But as you know and we have said before, main priority for us is divestments and accelerating the diverging process that we have embarked on. Does that answer the question?
Mauricio Serna: Yes. I mean, I just wanted to understand if that is still the case?
Fernando Gonzalez: It is, it is. And perhaps an additional clarification is that we do have these three business lines in heavy construction materials: ready-mix, aggregates and cement. Now in the case – I think I clarified much more the cement part and the aggregate part. Ready-mix, we are – we do have a sizable ready-mix position, but that's mainly in – as part of an integrated strategy among the three products. Ready-mix, as you know, is made out of aggregates and cement, but also additives, water. And – so we're interested in ready-mix as long as ready-mix is part of an integrated portfolio, particularly in developed markets.
Mauricio Serna: Okay, great. And just one minor thing just to confirm. I recall you mentioned earlier in the call that the price increase in Mexico implemented was 9%, but I thought I had read it was 12% to 13%. Just wanted to make sure it's 9% that you mentioned earlier today.
Fernando Gonzalez: Yes. I think I mentioned separately in the sense of bagged cement, which is the increase is different to bulk. And in case of bagged cement, it's 9%. On bulk, the announcement was 14%. I also mentioned the increases we announced for our ready-mix products, which is 10%.
Mauricio Serna: Okay. Thank you very much.
Fernando Gonzalez: Thank you.
Maher Al-Haffar: Thank you. Operator.
Operator: We have time for one last question. The last question is from Yassine Touahri from On Field Investment Research.
Yassine Touahri: Good morning, gentlemen. Couple of questions. First on Mexico. Some press articles suggest that some of your competitor have not yet increased prices this year. Is this something that you have noticed? And does you focus on recovering cost inflation means that you could be ready to give up a little bit of market share if necessary? Then we have the question on Colombia. What could – could you give us a little bit more color on your pricing strategy, given the assumptions in [indiscernible]. And the last one is on the U.S. Do you expect to see any impact of the shutdown on demand in the first half of 2019? And if you get some short-term description on construction activity, could it make it more difficult to increase prices enough for you?
Fernando Gonzalez: Okay, let me start with the shutdown because that's a simple one. It didn't have any impact. We didn't observe any specific impact because that. Now let me go on Mexico. You know the dynamics of the business and strategies on pricing and position in the market, meaning, market share position. Our strategies that you have to execute with a time horizon of kind of – is months of – even midterm, is not a quarter, is not even half a year. So that's what we have in mind. If for whatever the reason competitive dynamics are very harsh because of market conditions, we will be deciding accordingly through time. What I have stated, what we have communicated is that our pricing strategy is very clear. We aspire to offset cost inflation. And last year – I think this is going to be the third time I'm repeating, and this is kind of painful, but we did manage to do that. Our prices in real terms, in peso terms in Mexico, declined by 3%. But that's what we were – we are going to be trying this year. Inflation – cost inflation in cement, cement production and distribution for the three of our products, cement, ready-mix and aggregates, have been high. So it is very relevant for us to insist and to display successful strategies in order for our prices to offset this inflation. So that's what we will be trying this year also.
Maher Al-Haffar: Yassine, I would like to address the question on Colombia, but as you know, there's a separate call by CLH, and I would hate to be preempting any detailed information in that respect. And so I would invite you to participate in the call there and have our CEO address your questions. They're much closer to the market. They'll be able to give you much better color, so I will advise you to do that, frankly. I mean, we are, let's say, constructive about Colombia. In general, we think that there is an improving trend in the economy and in national cement demand. You've seen our guidance. It's not an impressive guidance. We have been focusing on pricing strategy, and I think that I would invite you to talk to Jaime Muguiro on the call on that – in that regard, if you don't mind.
Yassine Touahri: Thank you very much.
Fernando Gonzalez: Any other questions, Yassine? Or…
Yassine Touahri: That's it. Thank you very much for your answer.
Fernando Gonzalez: Thank you very much.
Maher Al-Haffar: Thanks, Yassine.
Operator: I will now turn the call over to Fernando Gonzalez for closing remarks.
Fernando Gonzalez: Well, I would like to thank you all for the time and attention, and we look forward to your continued participation in CEMEX. Please feel free to contact us directly or visit our website at any time. Thank you, and good day.
Operator: Thank you for your participation in today's conference. This concludes the presentation. You may now disconnect.